Operator: Good afternoon, ladies and gentlemen, and welcome to the Sciplay 2020 Second Quarter Investor Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Please note today's event is being recorded. Now, let me turn the call over to Trent Kruse, Senior Vice President of Investor Relations for Sciplay. Mr. Kruse, you may begin.
Trent Kruse: Thank you, operator and good afternoon everyone. During today's call, we will discuss our second quarter 2020 results and operating performance followed by a question-and-answer period. With me this afternoon are Josh Wilson and Mike Cody. Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings release issued earlier this afternoon, the materials relating to this call posted on our website, and our filings with the SEC. We also will discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release as well as in the Investors section on our website. As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investors section of our website at sciplay.com. Also, supplemental reference slides will be posted to our Investor Relations website. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call. I will now turn the call over to Josh. Josh?
Joshua Wilson: Thanks Trent. Good afternoon everyone and thanks for joining us. I am so proud of our team for producing record results in the second quarter. We delivered significant and compelling enhancements to economies, game quality, and live ops across our portfolio that allowed us to truly capitalize on the surge we have seen in player demand, as well as new features such as Island Hopping and Gold Fish and Tournament of Champions and Jackpot Party. As a result, we generated record quarterly revenue of $166 million, up 40% from last year and our AEBITDA increased 80% to $60 million, also a quarterly record. ARPDAU increased 40% to $0.67, average monthly revenue per payer increased 24% to $101.13, payer conversion grew 80 basis points to 6.8% and we saw our mobile penetration increase four points to 87%. All of these KPIs represent a record level and demonstrate the incredible position all of our games are in. Looking at our portfolio of games, we saw Gold Fish drive outstanding results and also saw strong growth from Jackpot Party, Quick Hit, and Monopoly. We are very confident we have strength and momentum in all of our games that will enable us to outpace industry growth in 2020. In addition to these amazing results, we also acquired casual game developer Come2Play during the second quarter. We are extremely excited to welcome the Come2Play team to Sciplay, as this is a perfect match when it comes to both product and culture. Adding a new genre of evergreen casual game and incredibly talented team to our portfolio, immediately expands our market beyond social casino apps, and enabled us to leverage our unique technology and strategies to drive player engagement and grow revenue. We believe with our support and expertise in user acquisition, analytics, and live ops, we will be able to work together to drive significant growth in the Come2Play title. As mentioned, one of our core strategies has been to bring the best content and supercharge it with our support. A great example of this was our last acquisition SpiceRack, which brought the popular Bingo game, Bingo Showdown into our portfolio in 2017. We drove incredible results following the acquisition by more than tripling the game's revenue. We plan to utilize the same success model to bring Come2Play into our portfolio. On the international front, we continue to run UA testing with Monopoly and have expanded to multiple countries. We have undertaken App Store optimization efforts to attract organic installs and have seen some success. We will continue to experiment with varying levels of spend and monitor monetization results of both paid and organic installs first, our more traditional markets. Other games will begin to implement similar technology solutions to lessen international player friction in the future. We are also excited about implementation of updated organizational structure across our game teams. The incredible success of Jackpot Party and the key learnings we have developed from that team design have led us to decisions to implement the same structure across all of our games. With this new team alignment, we will have dedicated teams surrounding live ops, feature implementation, and tech and quality improvement. We believe this enhanced team design will allow us to deliver a more seamless player experience, faster updates, and deeper meta game experience for all of our players. And finally, we continue to actively support several exciting M&A possibilities, which will allow us to further broaden our portfolio and leverage our significant capabilities around data-driven user acquisition, engagement and monetization to continue to drive grow. To wrap-up, our team is eager to execute our winning strategy, explore new growth opportunities, keep improving our games, and drive enhanced results. We continue to believe we are in very early stages of a multiyear revenue growth and earnings expansion cycle our pipeline. And we couldn't be more excited by our future prospects and opportunity. Now, I'll turn the call over to Mike Cody to walk through the financial information in more detail. Mike?
Michael Cody: Thanks Josh. In the second quarter, we generated record revenue of $165.6 million. Our AEBITDA increased nearly 80% to $59.6 million. The growth was driven by strong trends throughout a portfolio of games, the benefit of the stay-at-home dynamic, and the operating leverage in our business model. Net income was up over 86% to $48.8 million versus $26.2 million in the prior year, and income margin increased 730 basis points to 29.5%. Sales and marketing expense of $35.1 million represented 21.2% of revenue, which was down 260 basis points from the prior quarter. The $35.1 million represents our largest dollar spent in a quarter and with CPIs down and the strong revenue growth we saw in the quarter, we saw significant leverage in our UA spend. We continue to expect some variability in spending as a percentage of revenue from quarter-to-quarter and we will look to continue to leverage our portfolio approach to spend into the games and channel where we see opportunities for the highest returns. We generated $52 million in cash provided by operating activities, an increase of $34 million, or over 189% from the prior year. We ended the quarter with $156.1 million in cash, which was an increase of $23.5 million from the first quarter. This includes $26.7 million combined for our acquisition have Come2Play and our annual tax receivable agreement and related payments. The Come2Play acquisition closed on June 22nd. At quarter end, our available liquidity including our undrawn revolver was $306.1 million. We achieved very strong results in essentially all financial metrics driven by record KPIs in the second quarter, which led to our topline growth far outpacing the market growth rates. We're well-positioned from a finance perspective to continue to grow our existing portfolio of games given our large library proven IP, and strong feature roadmaps, as well as entering new game categories with the addition of Come2Play. As previously stated, we expect to exceed market growth in the back half of the year. With that, we're happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]  And our first question comes from Alexia Quadrani of JPMorgan. Please go ahead.
Alexia Quadrani: Thank you. Can you provide us a bit more color on how revenues trended within second quarter? And specifically maybe a bit how would you think of the influence by the stay-at-home orders? And whether you think that is sustainable looking forward?
Michael Cody: Certainly. Hi Alexia, this is Mike. So, I think to properly tell the story of Q2, you have to go back to Q1. And when we implemented for quality, economy, and feature enhancements in Q1 to prepare ourselves for what we expected to be growth in the back half of the year, it fortunately, based on a really good position when COVID occurred and so we saw the spike start in the back half of March as we've talked about previously, our growth continued into April which we talked about again being a record month. While May out peak outpaced April, and really was the peak of the stay-at-home impact with everybody with a lot of free time on their hands. So, June has now softened a little bit relative to me, that will stay-at-home motors lifted, but we've remained at a higher baseline relative with the pre-COVID period. So, we're confident that the second half of the year will be strong because we have a good strong roadmap and feature releases planned. So, all of our games are in really good positions. And talking about going forward from here, it's really hard for us to predict where this will all end up as you know, COVID the ever changing situation. So, we think we've put ourselves in a good chance -- good position to succeed, but it's really, really hard to get to a real answer.
Alexia Quadrani: Okay. And just a follow-up if I can on the Come2Play acquisition, any color on how you think it could potentially expand the player base?
Joshua Wilson: Yes, so this is Josh Alexia. The Come2Play acquisition we're very excited about it immediately gets us into the board game and also the solid care market on day one. Both of those markets are very large DAU as most of the causal gain market as a whole. We are super-excited that the team is great; they fit Sciplay amazing and on day one hit the ground running. But we are really, really excited about the game that they have in tech launch right now, which is Solitaire Pets Adventure. This is a Klondike game with a metal around it, which is a first of the kind in the market today. And so as we all know, in the mobile games world, first-to-market games have the potential to be very, very -- grow, sorry about that. And as I mentioned, we're in the tech phase right now. My assumption would be that we would expect to start seeing the ramp in 2021.
Alexia Quadrani: Okay. Thank you very much.
Operator: Our next question comes from Shweta Khajuria of RBC Capital Markets. Please go ahead.
Shweta Khajuria: Okay, thank you. Let me try two please. First on ARPDUA that was the growth there at 40% was very strong and love to hear your thoughts on sustainability of that in terms of your ability to continue to monetize DA on the players on a go forward basis and also just what drove that strength? What in any particular product improvement or feature improvement that really drove that growth? And then second, are you seeing -- can you please talk about what you've seen in July so far? Thank you.
Joshua Wilson: Okay. Shweta, this is Josh. I think Mike and I are going to kind of tag team this. I'll handle the game side of it. Yes. We saw a great increase in ARPDAU during the quarter. Part of that is the work from home where people are -- had more days a week that they play. But a large part of it was our shift to focus on live ops monetization and be able to engage the player throughout the entire week. Almost as if every day was a Saturday, Sunday. And because of this, we were able to get more monetization to happen across our entire portfolio all seven days a week, where it normally looks like the weekends are the peak and the weekdays are the low. Basically, everything came up. We have, as Mike mentioned earlier, these KPIs did start to come down a little in June. But for the most part, they are all above what their original baseline was inside of pre-COVID, which does make us confident that we're going to be able to retain this higher baseline overall.
Michael Cody: And in terms of July -- so picking up from where Josh left off, we're not prepared to give any numbers for July today, other than to say that as Josh mentioned, we are seeing a higher baseline than the pre-COVID period.
Shweta Khajuria: Okay. Thank you, Josh. Thanks Mike.
Joshua Wilson: Thank you, Shweta.
Operator: Our next question comes from Matthew Cost of Morgan Stanley. Please go ahead.
Matthew Cost: Hey, guys. Thanks for taking the questions. Two if I can. So, obviously, a lot of casinos have been closed across the country over various time periods, some are reopening now. Can you talk a little bit about specifically what impact you think that might have had on your portfolio, maybe in terms of channeling some engagement that might have otherwise gone into your portfolio and then see you affect perhaps a reversal of that, as we see large scale casinos opening up across the country? And then the second one is just on the margin trajectory. Obviously, you saw a lot of levers come through in this quarter, just driven by the extraordinary strength in consumer engagement and spending that you saw pair from the friction ratio up. You've spoken last year about kind of a 35% margin, target over maybe a three to five year timeframe has that accelerated at all, as a result of this? Thanks,
Joshua Wilson: Matthew. I think, once again, Mike and I would just kind of tag team here. I'll handle the first part of the question. The great news is really across the country we saw tightness on all states, even in other countries outside of the United States, and jurisdictions that may not have casinos also. So, where there may have been a benefit to casinos being closed, we do not believe it was the major mover of our great quarter. The good news that we look at is the ones that did come in from the casino, they now got a chance to play our amazing games and our amazing titles, which gives us a really good chance of retaining them as the world opens back up in the future.
Michael Cody: And Matt to your question on AEBITDA margins, obviously, we're quite happy that we're able to exceed our three to five year stated goal of 35%. However, as we think about the future, you can see as you scale the revenues, we don't have to do to increase the class at the same pace. So, that's how we got this expansion. But as you think about the future and the uncertainty around COVID, we're not sure how this is going to play out going forward. So, for now, I think that we will maintain our same three to five year target of 35%.
Matthew Cost: Great. Thank you.
Operator: Our next question comes from Franco Granda of D.A. Davidson. Please go ahead.
Franco Granda: Hi, good afternoon, guys. Congratulations on the strong results and thank you for letting me ask question. I was particularly surprised at how little you spend on UA in the quarter, given the revenue levels. I guess was this a function of enhancement as your existing player base or simply better payout on each dollar spent in the quarter?
Michael Cody: So, Franco, yeah, so I guess first, we spent the most -- we overspent in a quarter, and that did help drive the revenue. CPIs were favorable, starting in late March, State Fair will early into Q2, and then started the hardening in late May and into June. And kind of back to where they were prior to prior to the drop at the beginning of COVID. For us -- and ultimately, it's kind of a -- when you look at the percent of revenue being much lower than our kind of original targets that we've talked about in the past. It's really a math issue, the revenue spiked so quickly and we spend to our same LTV positive of six months or better and maintained our portfolio approach to how we spend across channels and across games. And we're really happy with the result. We were able to grow the revenue to record levels and also grow AEBITDA at a record level. So, again, really positive and we think we've got a good mix rather than trying to chase revenue may not be the best spend with our UA dollar.
Franco Granda: Okay. Thank you for the color. And then one more for me. What are you saying in terms spending habits for your player base? Particularly, on the new player base that you acquired in the second quarter?
Joshua Wilson: Yes. No, that's a great question. Really, if I looked at the individual player, the LTV and the LTV curve looks extremely similar to the way it had been the previous year before. The way I'd say that as if a person looked like they were going to be a $5 person over six months, they still want way today, the major difference in the quarter was we got a higher percentage of payers that came in each day, which allowed us to increase our marketing spend, as Mike said, and bring in more.
Franco Granda: Thank you.
Operator: Our next question comes from Ryan Gee of Bank of America. Please go ahead.
Ryan Gee: Hey, good afternoon, guys. Thanks for the question. Can you help us -- can you help understand the disconnect between the year-over-year growth and strong growth in revenue and ARPU versus kind of the unchanged audience in terms of both players, and payers. I mean it seems to suggest that a big part of all this is hey, more leisure time at home sitting idle, playing games, which is to be expected, but at the end of all this when we take away that idle time, what spending patterns would look like -- has COVID really transformed your business in terms of audience and whatnot? So, not sure if you agree with any of that thinking, but just wanted to get your thoughts on that. And then I have a follow-up.
Joshua Wilson: Okay. Thanks Ryan. I think Mike and I may actually piggyback on each other here a little bit. So, I did want to start with -- yes, when you look at it year-over-year, it does look very flat, but actually quarter-over-quarter it did grow and grew across the entire portfolio in both MAU and DAU. As we had progressed over the past year, we have really focused on converting payers and keeping payers in our game long-term, which does cause us to spend less looking for the non-payer GAU and spend more looking for high value GAU. This is what why over the course of the last year; you have also seen our average revenue per monthly payer increase during this time because we are getting more and more valuable DAU in our portfolio.
Michael Cody: Yes. And just to add on to I think Josh said it well, I mean, it's really -- the audience did spike back up in Q2 from a prior quarter and they were spending more. So, those two things are a flywheel it kind of jumped on each other and just kept going forward. So, obviously, our job is to maintain that going forward and try and make these games a part of people's habits and then play every day going forward with this new found audience. And so we think there is some sustainability at some level, but we just don't know what that is yet.
Ryan Gee: Okay, that's super helpful. And then follow-up would be just looking for a transformational change here. Has the uplift that you've seen outside the U.S., how does that compared to sort of the uplift you've seen in the U.S. where social casino is much more prevalent? I mean do you feel like social casino internationally has really taken hold and could be a much bigger market going forward from here?
Joshua Wilson: I think the way -- so, the answer to your question is yes. But I will caveat; we did see the largest amount of growth happen in the U.S. as that is the largest section of social casino players. We did see other first-world countries increase, including the number of installs. Unfortunately, what we didn't see as their revenue per user spike with the installs like we saw in the U.S. So, where it is definitely an opportunity for us, we may have to change the game in order to optimize their behavior in the future.
Ryan Gee: Right, great. Thank you guys.
Operator: Our next question comes from Matt Thornton of SunTrust. Please go ahead.
Matthew Thornton: Hey good afternoon, Josh, Mike. Thanks for taking the question. Maybe two if I could. First, you talked little bit about some of the new features and content that launched 1Q into 2Q. Just curious if you're able to tease apart maybe quantify maybe what kind of lift you got from some of the new features, new content, or at least what titles those kind of came through in? And then just when we take a step back and say about linearity and kind of cadence to the year we do have new features, do we expect acceleration in 3Q, 4Q? Are we kind of on an upward trajectory in terms of the delivery of content or is a fairly steady looking forward? And I've got one follow-up if I could.
Joshua Wilson: Okay, so -- well, actually, Mike and I will kind of tag team once again. I'll start with a second question. We have an extremely exciting roadmap coming into the back half of this year, across the entire portfolio. The great news is even now during the time of COVID, we did pivot to be much more of our development on live ops, we were able to keep our feature teams moving during this time. So, we plan on doing a full release of meta in all of the third and fourth quarter of this year.
Michael Cody: And on your first question about kind of quantifying how features play out in the game versus COVID impact, it's really hard to break that apart. I mean what we can say is, when we launch certain features, like Tournament of Champions and Jackpot Party, for example, those features caused players to play the games longer and stay in the game for a longer period of time and perhaps come back more often. And so we do see some change in behavior when those features occur. So, we're confident that that's part of the mix. It's really hard to kind of break that out at this point and so I don't think we'll be able to do that for a year.
Matthew Thornton: All right. Fair enough. Maybe one just quick follow-up if I could. Obviously, Apple is getting ready to make some changes here too. The ability to kind of track in-app starting in September. Just curious if you have any thoughts on, where that might have an impact on either advertising, or your case, your user acquisition given you guys have any advertising in the business, but just any thoughts on any potential impact?
Joshua Wilson: Yes, great question Matt and here's -- when you're dealing with external partners that do get to make choices, you always have to be on your toes and be able to pivot to whatever new rules and regulations come out. Where this change will cause us to have to internally change how we measure their performance, we feel very confident that we are going to have a solution that will allow us to continue effectively spending our marketing money on all platforms like we are today.
Matthew Thornton: Great. Thanks guys.
Joshua Wilson: Thanks Matt.
Operator: Our next question comes from Brian Kraft of Deutsche Bank. Please go ahead.
Benjamin Soff: Hey guys, this is Ben for Brian. Thanks for taking the question. My first is on the organizational structure changes, I guess we'd love to get a little bit more color there, both in terms of when you think we can start seeing the impact and are there any costs associated with making these changes? Thanks.
Joshua Wilson: Yes, thanks, Ben. That's a great question. So, I'm going to try to move as fast as I can, because I want to give you that color on why and then get into the timing. So, as we made these changes at the end, in 2017, with Jackpot Party, what we were able to do was create individual swim lanes inside of a team that would allow the team to focus on multiple areas at once. So, we created a feature customer team or not a game team -- a technology team, which is basically all making the app run faster, and a monetization team, which is focused on the day-to-day of the user. Now, this was the first time inside of our company that we had done this, all of our other games basically had to choose between one or two of those lanes at a time. We have made the investment in early June this year to move our next two largest games into this model. Some of it was internal moving up people, a lot of it is going to be new hires, which will all take time. So, where we believe we'll be building up the teams and starting to get things moving, running slowly, we probably won't see the impact until 2021 when that team can start releasing features into the game.
Michael Cody: And Ben in terms of cost, this stuff fits exactly within our trajectory of plan spends, so this is not a material.
Benjamin Soff: Got it, makes sense. And then one more on costs really. So, I mean, obviously costs are up this quarter, which is clearly a very strong investment by you guys. I just wanted to get more information from you guys on how you think about how much to spend, would spending more on marketing, generate more growth and higher returns? How do you guys think about balancing what the right level is?
Joshua Wilson: Yes. So, today -- and this is been true since day one, we spend all of ours up to a six month ROI on all spend. So, whatever that CPI is going to cost us to the individual, we want to be breakeven within that six months, and we spend 100% up to that cap. So, it does go up and down mainly based on how CPI inflection goes. So, in a normal year, for example, January, February, CPIs all go down, we're spending a lot more, on the flip side of it, December CPIs go up, we tend to spend less. So, it is very fluid. Do you want to give any?
Michael Cody: Yes, I mean, the only other part I would add is as we've talked about in the past, we manage this as a portfolio across all of our games. And so we'll shift and move money around based on how certain games are performing and what kind of monetization we're seeing versus the CPI. And that's been consistent with what we've done from day one.
Benjamin Soff: Thanks for the questions guys.
Joshua Wilson: Thank you, Ben.
Operator: [Operator Instructions] And the next question will come from Chad Beynon of Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Just wanted to ask a general one on the product roadmap. You guys know it's some strong success within your portfolio, I guess mainly for Gold Fish in the quarter. Is there room for another organic launch? Or do you think the best path for organic growth, particularly given what you've been able to achieve from a monetization standpoint this quarter is to really do that and just continue to focus on bringing up some of the core games that aren't producing as strong metrics as the others? Thanks.
Joshua Wilson: Yes. So, for the last part of that we absolutely have some huge opportunities in all of our game, by the way, including Jackpot Party. As we know, like there are people in the industry that have a significant higher ARPDAU than even the Jackpot Party does, which does give us a lot of confidence that we have all that room and all seven games now including the Come2Play games too. Organically, it's probably a mixture for us. Some of this we're kind of look at the Come2Play acquisition as an organic game, where we basically -- the purchase price got us a built game that is in tech launch, which is a very similar process that we would internally do, which is invest resources into a game has a cost then we tech launch it, and then that's where the future comes. It doesn't stop us from doing any new game organic growth. We will continue to look at all the opportunities there and if we feel confident that we have the team that can do it, and the skillset for that simple core loop, it will definitely be something that we look out on our roadmap.
Chad Beynon: Okay, make sense. And then Mike just on back on the balance sheet, your cash position is extremely strong, even after making this accretive acquisition. How should we think about how you're going to use this this strong balance sheet over the next couple years? Is it kind of a wait and see approach or just kind of keep some dry powder around and analyze other opportunities? Or is there a right amount of leverage that you would feel comfortable with leveraging up?
Michael Cody: Yes, I think, as we've talked about, we're going to continue to use the cash to build out this business, whether that means more team members user acquisition, or M&A. As we've just talked about, we did Come2Play a small acquisition; we continue to look across the size spectrum for more acquisitions. So, it's certainly something that's in play. But again, it's all about rebuilding -- being wherever we can to continue to build out the business. In terms of leverage, that's something we'll discuss at the right time. Right now that's an issue for us and so I think we'll hold off on giving any kind of targets there.
Chad Beynon: Okay. Thanks. Congrats on the results guys.
Joshua Wilson: Thank you.
Michael Cody: Thank you, Chad.
Operator: Our next question comes from Ryan Sigdahl of Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Good afternoon guys and thanks for taking my questions.
Joshua Wilson: Thanks Ryan.
Ryan Sigdahl: So, you mentioned focus on keeping paying players and adding the higher value DAUs. So, is it reasonable to assume that DAU, MAU could be flattish to down going forward, but ARPDAU and conversion increasing and more than offsetting kind of that flat to declining overall user base?
Joshua Wilson: Yes, so I think -- Ryan, this is Josh. So, first and foremost, we're always going to continue focusing on retention, new user monetization, and also optimizing CPI. So, we're able to create new users. And as long as we keep focusing on that, the potential of growth does happen and is there. So, I don't want to say that we will not grow because there's a very good chance that you do see us grow. On the flip side of that, we are going to focus -- continually focus on the monetization or the live ops side. As we continue to find ways to engage the players, more days a week and more time during a given day, that's really our secret sauce for getting more monetization opportunities is by increasing how many times a week they come in and how long they play. And it gives us more chance to get them into our monetization loop more often during the week.
Michael Cody: And I would add on to that you have to also think about our individual games and products and their lifecycle. So, you think about a game, such as Solitaire Pets Adventure that we believe is in tech launch, certainly it needs to acquire users and will grow it it's MAU and DAU as it matures. And so it's a little bit different for some of the games that are further along in their lifecycle.
Ryan Sigdahl: Great. Then, just on international, relatively small but growth is nearly 100% year-over-year in the quarter. What was the primary driver of that outsize growth? And then do you think there are elements of the Come2Play acquisition that could help accelerate that expansion?
Joshua Wilson: So, a good part of that growth is actually a lot of ASO [ph] efforts that we get throughout our portfolio to help drive in new installs and people throughout international. We also have pushed forward with our Monopoly test, which is our first game that uses international servers to give a more frictionless experience to our customers and we saw positive results from that also. As far as -- sorry, what was the second part of that question? I'm sorry I--.
Ryan Sigdahl: Yes, just on the Come2Play -- accelerate, if there's infrastructure if there's--
Joshua Wilson: Certainly. Yes, well, the good news here is any place that Klondike Solitaire is played, it is a huge DAU opportunity for us and Klondike Solitaire is a worldwide game. So, it, we look at this as the opportunity to grow the DAU internationally on this game because it is a generally played game anywhere.
Ryan Sigdahl: Great. Thanks, guys. Good luck.
Joshua Wilson: Thank you.
Operator: Our next question will come from Drew Crum of Stifel. Please go ahead.
Andrew Crum: Okay. Thanks. Hey guys. Good afternoon. So, Mike, just want to get a clarification on your comment for the second half. Are you expecting to meet or exceed market growth and is that number still in the mid-single-digits range? And then for Josh, just a comment on Bingo Showdown and its performance. There's a unity conversion earlier in the year and some enhancements introduced in the beginning as well. Thanks.
Michael Cody: Hey Drew. So, this is Mike. So, on the question for the second half, as we've always stated, we expect to beat market and market, I've seen some recent updates on market for the full year being roughly 17% -- 15% to 17%. So, that's our expectation in terms of we should be able to beat the market and that hasn't changed.
Joshua Wilson: And Drew for Bingo, yes, so Bingo, also continue to move forward since it's free, right. As you know, we released the Unity version towards the beginning of this year. During that time, we were able to get the technology all sewed up and now to the point where we believe that technology is finished or now we're able to get back to focusing on live ops, new features, and economy changes. So, what I would expect over the next six, nine months is a shift in focus of the team from technology to giving the customers more reason to play the game longer.
Andrew Crum: Got it. Okay. Thanks, guys.
Joshua Wilson: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Josh Wilson for any closing remarks.
Joshua Wilson: Thanks for joining us today. We appreciate your support. The team at Sciplay is incredibly excited about our record-breaking results in the second quarter and for future given the strength of our gains and the untapped growth opportunities we have ahead of us. We are committed to delivering strong results and returns for our shareholders in 2020 and beyond. I look forward to updating you on our continued progress during the next call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.